Operator: Good day, and welcome to the Boyd Gaming First Quarter 2021 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Josh Hirsberg, Executive Vice President and Chief Financial Officer. Please go ahead.
Josh Hirsberg: Thank you, Matt. Good afternoon, everyone. And welcome to our first quarter conference call. Joining me on the call this afternoon is Keith Smith, our President and Chief Executive Officer. Our comments today will include statements that are forward-looking statements within the Private Securities Litigation Reform Act. All forward-looking statements in our comments are as of today’s date, we undertake no obligation to update or revise forward-looking statements. Actual results may differ materially from those projected in forward-looking statement. There are certain risks and uncertainties, including those disclosed in our filings with the SEC that may impact our results. During our call today, we'll make reference to non-GAAP financial measures. For a complete reconciliation of historical non-GAAP to GAAP financial measures, please refer to our earnings press release, our Form 8-K furnished to the SEC today, and both of which are available in the Investors section of our website at boydgaming.com. We do not provide a reconciliation of forward-looking non-GAAP financial measures due to our inability to project special charges and certain expenses. Today's call is also being webcast live at boydgaming.com and will be available for replay in the Investor Relations section of our website shortly after the completion of this call. So with that, I would now like to turn the call over to Keith Smith. Keith?
Keith Smith: Thanks, Josh, and good afternoon, everyone. Thank you for joining us. Our first quarter results reflect an exceptional performance by our company and our entire team as the momentum that began in the third quarter of last year continued throughout our business. On a company-wide basis, we achieved an all-time EBITDAR record of $292.6 million. While this is up considerably from the prior year, we also exceeded our first quarter 2019 performance by more than 30% and surpassed our previous record by over 20%. Company-wide margins for the quarter were 38.8%. This is nearly 1,200 basis points better than the first quarter of 2019 and 220 basis points higher than the previous record we set in the third quarter of 2020. We also achieved new EBITDAR records in each of our two largest operating segments. In the Las Vegas Locals segment EBITDAR exceeded our previous record by 11% and was up 22% over 2019. And when excluding The Orleans, which is heavily reliant on destination business, our same-store locals EBITDAR was up 46% from 2019 levels. Operating margins in our Las Vegas Locals segment were nearly 50% for the quarter, 360 basis points higher than the record we set just two quarters ago. In our Midwest and South region, EBITDAR grew nearly 40% over 2019 beating the previous record by almost 20%. Segment margins were nearly 40% this quarter and overall gaming revenues were up more than 2% from 2019 levels. Most important, this operating segment -- this operating strength was broad-based as 15 of our 17 properties in this segment grew EBITDAR at a double-digit pace over their 2019 performance. Throughout the quarter, strengthening consumer confidence, limited entertainment options and our disciplined operating strategy, all contributed to produce record results across our portfolio. Starting in January and February, business returned to the levels we saw in the third quarter. But it was March where we really benefited from improving trends. From February to March, daily rated play increased over 18% across all age and worth segments and was up nearly 25% in our 65 and up segment. As vaccinations continue to roll out, customers are clearly growing more comfortable with resuming their pre-pandemic activities including regular visits to our properties. We also experienced an impressive increase in unrated play, which grew more than 33% on a comparable basis from February to March, a reflection of a strengthening consumer confidence across the country. This strong unrated play is providing us the opportunity to grow our database as we leverage our enhanced tools and capabilities to identify high-value unrated players on our gaming floors and then enroll them into our B Connected loyalty program.  In the first quarter, new player sign-ups rose 35% over the fourth quarter. But beyond the sheer increase in quantity, it is the quality of these guests that is far more impressive. On an overall basis, the worth of our first quarter sign-ups was over 50% higher than the first quarter of 2019. Across the business, the strong trends of March are continuing into April.  Rated guest counts are running well ahead of the third and fourth quarters of 2020 and unrated play remains at very high levels. While we are very encouraged by April's business trends as other entertainment options become increasingly available, we do expect unrated play levels will normalize. But even as unrated play normalizes, we are confident we can keep delivering strong performances as we pursue additional growth opportunities within our growing rated customer base.  One of these opportunities is the 65-and-over segment. While we have seen strong growth from this demographic in the last several months, many are still on the sidelines. And as our country continues to make progress against the pandemic, we are confident that more of these guests will return to our properties as the year progresses.  We also see opportunities to grow our destination business. While business from local guest segments remain strong, guest counts from destination travelers remain well below pre-pandemic levels. The softness has been particularly noteworthy at The Orleans, which draws a significant amount of business from destination travelers. This has also impacted our downtown Las Vegas segment, where visitation from our core Hawaiian customers has been severely restrained by travel restrictions.  As COVID vaccinations continue to roll out and restrictions lift, we expect visitation among our rated destination customers to improve. We also expect to see improvements in midweek business as restrictions on conventions and meetings are eased and capacity limits are increased.  Over the last several weeks, we've started to see the first indications that this destination business is returning. Hotel reservations have increased to their highest level in more than a year. And our booking window is rapidly improving. At the same time, we are experiencing growing demand for non-gaming amenities.  We are encouraged by the opportunity for growth on the non-gaming side of the business and we'll take a thoughtful and disciplined approach in reintroducing these amenities. We remain committed to our disciplined operating strategy that has delivered outstanding results over the last several quarters.  On top of organic growth opportunities within our portfolio, we continue to make progress with our strategic growth initiatives. For example, our interactive gaming presence and offerings continue to expand. After introducing Stardust as our social casino brand last year, we have now entered the world of real money online gaming launching our first Stardust online casinos in Pennsylvania and New Jersey last week. We're also excited by the performance and the ongoing potential of our partnership with FanDuel Group. Together, we have established market-leading sports betting products in Pennsylvania, Illinois, Indiana, Iowa and Mississippi with significant future opportunities yet to come in states like Ohio, Louisiana, Missouri and Kansas. And with our recently announced partnership with the NFL, FanDuel's brand will be significantly enhanced through its association as one of the League's official sports wagering partners for this coming football season.  FanDuel will have rights to include endgame and postgame highlights directly into its Sportsbook app further separating our partner from the competition in a crowded sports betting landscape.  We are also making good progress on the Wilton Rancheria Tribes Resort near Sacramento, California. Construction is now underway on the Sky River Casino and the project is set to go vertical next month. I had the pleasure of joining the Tribal council, community leaders and hundreds of tribal members for groundbreaking in early March. This was a true celebration by the entire Wilton community as they saw their vision of self-sufficiency finally come to life.  We are proud to call the Wilton tribe our friends and are honored to be their partners in this project. We look forward to joining them and opening the doors with Sky River Casino in the second half of 2022.  Before concluding, I wanted to take a note -- to take note of our company's ongoing progress on our corporate responsibility initiatives. Last week, we were honored to be recognized as the highest rating gaming company in Forbes Magazine's listing of America's Best Employers for diversity. We are a company that takes pride in promoting a welcoming culture for all team members. Being recognized by Forbes as a leader in workplace diversity is a great honor and reflects our ongoing efforts to create and support an environment where team members feel valued and appreciated. We also released our company's first comprehensive environmental, social and governance report last week. While our company has been committed to the principles of ESG for decades, this report is the first time we have compiled this information into a single document. Within this report, you will see detailed data on the progress we are making to conserve natural resources, reduce our carbon footprint, enhance the lives of our team members, build strong communities and promote good corporate governance. We are pleased with our performance against key ESG benchmarks to-date and look forward to sharing our continued progress with you in the future. In conclusion, this was truly an outstanding quarter for our company. Our business model is allowing us to make the most of an improving environment by delivering exceptional EBITDAR growth and margin improvement throughout the portfolio. Throughout the country, our property leaders are successfully maintaining higher margins and a disciplined operating philosophy as restrictions lift and visitation grows, and we continue to make significant progress on our strategic initiatives. Throughout all of this, our team members have kept their commitment to delivering personal and memorable service to our guests. That service is what makes Boyd Gaming stand out from the competition, and it will continue to draw customers back to our properties as the pandemic recovery continues. To every Boyd gaming team member, thank you. Together we are achieving new heights as a company and it is an honor to be part of such an incredible team. Thank you for your time today. I'd now like to turn the call over to Josh. Josh?
Josh Hirsberg: Thanks Keith. Before I provide comments on the quarter, I want to point out that we have included our 2019 results and the financial tables accompanying today's release. We believe that 2019 is a more relevant comparison period to this year's results since our entire property portfolio was closed during the second half of March of last year. As Keith noted, this was an incredible quarter for our company. As you have seen from our results in the third and fourth quarter of last year, our operating strategy delivers on growing EBITDAR with enhanced margins. And this was also the case in January and February. January and February were very good months, and resembled third quarter of last year in terms of business levels and margins. Compared to 2019, revenues were down nearly 11% during the February year-to-date period, while company-wide EBITDAR after corporate expense rose 34% and margins improved nearly 1,200 basis points. The month of March was even stronger. March benefited from our more efficient operating model, but was enhanced by stronger revenues particularly from higher-margin unrated play. In March revenues were down just 6% from 2019 levels, while company-wide EBITDAR margins after corporate expense approached 44%. During the first quarter, guest counts and spend both increased from the levels we saw in the third and fourth quarter of last year. We saw improvements across all age and worth segments including the 65-and-over age segments. In terms of gaming revenues, our Midwest and South segment rose more than 2% from 2019. While on the Las Vegas Locals segment, gaming revenues were up approximately 4% from 2019. In addition, we are experiencing increased demand for non-gaming amenities and growing demand for hotel capacity from both rated and unrated customers. Looking forward, we believe there is continued opportunity to grow our business among upper age segments of our database that have yet to fully return, as well as destination business. And we have the opportunity to build relationships with higher worth customers we have added to our database during the last several quarters. Our enhanced tools and capabilities combined with a more disciplined operating philosophy have allowed us to execute our business with much greater efficiency. This philosophy will continue to be our focus, as customer demand continues to return and we successfully -- selectively restore additional amenities. We believe that our operating strategy is sustainable, and we are confident that we can maintain a significantly more efficient business model over the long run. Touching on a few additional points from the quarter. We generated over $200 million in cash during the quarter, resulting in approximately $730 million of cash on the balance sheet at quarter end. And we currently have no borrowings outstanding under our $1 billion revolving credit facility. As we continue to grow out of this pandemic, we believe, it is most prudent to maintain our financial flexibility with respect to our cash balances and our free cash flow. In terms of our online business, we continue to be excited by the opportunity represented by sports and iGaming. As we previously indicated we expect to generate over $20 million in EBITDAR from online this year. And we are on track to achieve that result. We believe our strategic partnership and equity stake in FanDuel is the right approach, generating positive cash flow in a highly promotional capital-intensive and competitive landscape. And as more states legalize sports betting and FanDuel leads the way as one of the long-term winners in this space, our 5% equity stake will only continue to grow in value for our shareholders. We are also continuing to expand our online gaming presence under the Stardust brand that leverages our customer database and geographic distribution. We just launched the Stardust brand in New Jersey and Pennsylvania. And we continue to explore opportunities to expand and grow our capabilities and presence online, particularly in the iGaming space. So in summary, this was a great quarter. January and February were good. March was exceptional and that strength is continuing into April. Going forward, we will stay firmly committed to our operating strategy, driving increased EBITDAR, as a result of a continued operating discipline and a tight focus on the right customer. And finally, our strategic partnership with FanDuel and our online iGaming business will be growing components of our business. Matt that concludes our remarks and we're now ready to take any questions.
Question-and:
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Joe Greff with JPMorgan. Please go ahead.
Joe Greff: Good afternoon, Keith. Good afternoon, Josh.
Josh Hirsberg: Hi, Joe.
Keith Smith: Hi Joe.
Joe Greff: First question I have for you is, I guess on the sustainability of margins particularly in the Las Vegas Locals segment 50% EBITDAR margins is impressive to obviously say the least. As you think about further revenue recovery, do margins in that segment have to go down much further outside of mix associated with amenities like F&B, internally are you estimating higher normalized margins versus what you estimated end of last year, given what you've experienced year-to-date? And just to, kind of get a sense of margins in March and April. In the locals market I'm presuming you're above 50% that you reported for the quarter. Where are you in March and April? Is it something like 55% to give us a sense? And then, I have a follow-up.
Josh Hirsberg: Wow. How can you have a follow-up from that question, Joe? I think the best way to think about margins from our perspective is that, look, these margins are incredible. And I think it's really unrealistic to expect that certainly for the long-term that we will be able to achieve those margins. I think equally is unrealistic is that they are significantly below that. I mean, we said kind of expecting only 200 basis points or 300 basis points of margin improvements not realistic either. I think from the perspective of individual segments, those broad statements really kind of continue to apply. We do think that there's upside in our business from customers that haven't returned, both in terms of those that are older and local customers that haven't returned, but also high-value customers that are more destination oriented and customers -- and the business that we'll pick up from meetings and conventions as more and more restrictions are alleviated. I think all of that is on kind of the positive side of the ledger. I think from the perspective of the other side of the ledger, we have risk of non-gaming amenities and other amenities coming online, while we expect to operate those differently than we have in the past and have higher margins and more efficiency from those, I think they will put pressure on our margins overall. So I think, it's been a good quarter. I think a lot of good things came together, in particular unrated play. And I think, we'll continue to be focused on running a highly efficient more, focused differentiated strategy than we ran pre-COVID and that's -- 
Keith Smith: Yes. And look just to be clear, the margins that were achieved in Q1 should not be viewed as run rate margins. I think cutting through everything Josh said, we expect to obviously do better than we were doing in 2019 by a bunch. But the Q1 margins should not be viewed as run rate. Everything came together strong revenue growth, disciplined operating strategies, and as we bring back more amenities as unrated play normalizes, as other parts of the business normalize, you'll see margins dip below what we saw in Q1.
Joe Greff: Great. That's helpful. And then my next question, which is not necessarily a multiple part one like the first one. Do you think you're more after likely to engage or grow through M&A given where your equity valuation is why not take advantage of your stock as a currency to complement same-store recovery with accretive inorganic growth?
Keith Smith: I would say that, our approach to M&A hasn't changed over the last 12 months, or the last six months. We look at it in a very disciplined way. The – whatever it is that, we're looking at has to be strategic. There has to be a reason to own it. It has to be accretive. It has to be a high quality asset, has to move the needle for us from an EBITDAR standpoint, all those things still apply. How we finance it, whether it be through equity, or through debt is a completely different conversation than whether or not for us then whether or not we should own it, and how we pay for it. So we're keeping our eyes open, but we're not escalating our involvement in the M&A landscape, just because of a higher stock price today.
Joe Greff: Thank you very much.
Josh Hirsberg: Thanks, Joe.
Operator: Our next question will come from Carlo Santarelli with Deutsche Bank. Please go ahead.
Carlo Santarelli: Hey, guys. Good afternoon. Thank you for taking my questions. Josh, can you guys obviously in the locals market in the quarter relative to kind of 1Q 2019 margins up 1,600, 1,100 in the Midwest and South region. Back on the 3Q call, you guys kind of talked about – you had similar margin expense in that period to what you displayed here relative to 3Q 2019? And you talked about kind of achieving half of that was a safe place to be. And I think kind of something along the lines of what Joe was asking that would imply about 800 basis points of expansion in the locals market. 500, 600 basis points of expansion in the Midwest and South segment. Could those feel a lot more comfortable now after kind of seeing the model work not only through the 3Q and the 1Q strength, but also some of the choppier periods in the 4Q, where the top line performance wasn't as strong given some of the closures and softer demand during that COVID-spike period?
Josh Hirsberg: Yes. I think – I think we definitely have confidence in our ability to execute on the strategy. I think as each quarter passes, we obviously get more and more comfortable with it. But I think, the other thing that happens is that, every team member of the company is buying into it in a growing way as well. And I think that helps build the momentum around us being disciplined and continuing to be focused on our strategy going forward. When I think about kind of the margins overall, I think we did talk about kind of being able to capture about half of those – half of that the increases that we were seeing. And when I generally look at, kind of try to back into the work that you and your peers do from an analyst perspective, and see where that number is. I mean, that's generally kind of 600 to 650 basis points for the company overall relative to 2019 levels. And I think we feel really comfortable with those levels. I'm not sure about commenting on the mix and where we get it from. But I think overall, I think the kind of the – what we have communicated in the past is something we continue to believe in. And I think that, we're continuing to live through this pandemic and kind of get more and more comfortable with the passage of time, but we do have challenges in front of us, as customers continue to come back and as we introduce new non-gaming amenities or select non-game amenity. Each one of those is going to be a challenge for us in kind of the next one we have to kind of overcome. So I think that's how we think about it. But I think we feel very comfortable about kind of what's been said historically in terms of our ability to execute on the margin and what we expect to capture. And I don't think, we're ready to kind of say that's going to improve dramatically from those levels or anything like that at this point.
Carlo Santarelli: Great. And then obviously, the first quarter as you guys articulated was kind of a tale of several different months. But what do you think specifically about that 65-and-older customer and acknowledging the vaccination rates in that age group are very high, I think north of 70% and potentially north of 80% at this point. Do you see any change in the behavior or I should say visitation of that customer as kind of we went through the first quarter and obviously now having most of kind of April seeing more of that customer? And can you kind of benchmark where that customer is today in terms of visit -- visitation relative to kind of 2019 levels?
Keith Smith: Look, as we look and focus on that particular demographic, they are -- their frequency is up in the last several months and their spend is up over 2019 in the last several months. I think, there's probably a number of factors, maybe mostly driven by pent-up demand. They have not frequented us. They haven't been back to see us in a while. And so, how long does that last? Is that a new level of play for all of 2021? Is it for a couple of months? I think those are some of the uncertainties, I think Josh was trying to refer to. When we talk about margins, we still have to work our way through. But we're seeing increasing numbers of them come back as we get through March and into April. We're seeing once again better visitation or increased visitation, increased levels of play it is a matter of when does it normalize.
Carlo Santarelli: I'm sorry, Keith. Are you saying that, they were up relative to 2019 in March and April?
Keith Smith: Yes. Yes.
Carlo Santarelli: Okay. And then just lastly Josh, sorry. Any kind of color you could provide on CapEx plans for the balance of this year and whether or not there will be any incremental CapEx with some things that you perhaps are bringing back online as demand kind of presents itself for certain other amenities?
Josh Hirsberg: Yes. I don't -- I mean we generally have thought about our CapEx plan for this year around $175 million and really kept that back-end loaded than front-end loaded. Q1 CapEx was I think like $35 million. And so, I think that we will back-end load our CapEx and we will spend it as long as we continue to get comfortable with kind of the -- kind of the roll through of the pandemic if you will. We don't expect to be spending any more than that based on what we know today. And I think that's consistent with what we said at the end of last year also.
Carlo Santarelli: Great. Thank you, guys. Appreciate it.
Operator: Our next question will come from Barry Jonas with Truist Securities. Please go ahead.
Barry Jonas: Thanks so much. So, can we spend a minute talk about BoydPay. I believe you're in a couple of properties, just curious is there any early engagement or funding trends you can share and time line for the wider launch?
Keith Smith: Yes. And so probably no specific data that we're prepared to share right now. We currently are launched or live in four states, Pennsylvania, Indiana, Ohio and Nevada. We expect that we will be fully deployed throughout the company in all of our states and all of our properties over the next several quarters definitely by the end of the year. And it's going well. I mean, people are accessing it. People are using it. The numbers are growing but nothing in particular to highlight in terms of quantities right now.
Barry Jonas: Got it. And then, as you talk about sort of maybe more normalized run rates for margin or at least from the Q1 pace. Curious, is that tied to any competitive actions around promotions or amenities that you're currently seeing now?
Keith Smith: Look, it's -- we can talk about margins in a lot of different ways. Clearly, revenues because of our disciplined operating structure that we've embraced, revenues have the biggest impact on whether those margins continue to go up or stay the same or go down a little bit. But secondarily the intensity of the competitive landscape in the various jurisdictions will have an impact. We haven't -- we've seen some of the smaller competitors go back to their old playbook. We haven't -- most of our markets haven't seen anything too significant except from smaller players. But yes that will have an impact. Adding back non-gaming amenities will have some impact, but not as significant as things like revenue trends and the competitive landscape. Those will have more significant impacts on future margin.
Josh Hirsberg: I also think -- I mean we got a big boost from unrated play in March in particular. And so that's highly profitable revenue given we're not marketing to that customer base. And so kind of how that particular strength of our customer trends is also relevant to the margin story.
Barry Jonas: Great. Thanks so much and congrats on a great quarter.
Josh Hirsberg: Thanks.
Operator: Our next question will come from Thomas Allen with Morgan Stanley. Please go ahead.
Thomas Allen: Thanks. So, first quarter EBITDAR is typically about a quarter of the year. Can you just talk about kind of what you see as the gives and takes of kind of being able to sustain this you did $293 million of EBITDAR in the first quarter?
Josh Hirsberg: Say that last part again Tom as I was--
Thomas Allen: I was just like -- 1Q is typically a quarter of the year. So, I mean the questions have been around like can you sustain margins, but my question is like can you sustain the absolute EBITDAR you just did?
Josh Hirsberg: Yes. So, look I think the way to think about that is in the context of kind of what's been happening so far. And so I think the performance in Q1 of this year as well as if you think about Q3 of last year, we're generally very -- obviously good quarters. I think you have some ability to do obviously second quarter performance that's going to be generally positive as well. And then I think the rest of the year gets to be difficult from a comp perspective. Q4 was softer due to demand associated with Q4 of last year. So, I think when you think about 2021 and the rest of 2021 and we're not giving guidance, obviously, but just kind of putting in the context of what happened so far in the quarter since we've reopened, you can kind of start to put in context what's kind of a reasonable level of performance going forward. I'm not -- so I don't know if that helps or not, but I don't think you can take obviously Q1 and multiply times four and get there, so.
Thomas Allen: Okay. And then a broader topic among lots of companies is a lack of labor and starting to see wage inflation. Are you feeling that?
Keith Smith: Yes. So, hiring team members is one of the bigger challenges we have today whether it be here in Nevada or across the country unemployment has dropped in most locations where we operate to significantly below where the peak was last year. And frankly, most of our markets close to where it was in 2019. And getting team members is difficult. It is a challenge but we've been able to work our way through it. Are we seeing some wage inflation? I would say we're seeing limited wage inflation. Pockets here or pocket there not anything that's going to significantly alter the margin of the business.
Thomas Allen: Thank you.
Operator: Our next question will come from Steve Wieczynski with Stifel. Please go ahead.
Steve Wieczynski: Hey Keith, hey Josh. Good afternoon. So, you guys have talked a lot about the unrated play being up so much. I think you said 33% -- it was up 33% and that's pretty much continued in April. Can you help us remind us what percent of your casino business came from unrated play pre-pandemic and then maybe what that looks like today? And I guess what I'm trying to get at here is just a sense of what type of impact there could be of some of these non-rated customers gravitate elsewhere as other entertainment options come back online?
Keith Smith: Yes, look historically unrated play has been less than half our business. Today, I think it's probably grown to be about half the business but it's in that ZIP code.
Josh Hirsberg: In terms of the loss of unrated, I think not all unrated play is going to leave the building when there's other entertainment options. I think that -- we think that it is the slice of our business that's most at risk. We typically -- when you talk about unrated play I think Keith was largely referring to overall revenues. I think that of our rated play it represents about 20% or so. We generally track about 75% to 80% of our gaming revenues. And so that may help contextualize a little bit of the risk. I think again the -- we don't expect the entire unrated segment to be at risk because we have a core group of unrated customers that are I should say since we don't know who they are a core level of performance and unrated that typically is in there in our business. It's just been extra robust or robust in March in particular.
Steve Wieczynski: Right. Okay. Thanks. And then second question, you talked a lot about the demand for certain non-gaming amenities. That continues to pick up. And I guess the question is how do you guys balance bringing those assets back online versus knowing the potential margin dilution that could follow in. Does that decision come down to the fear around potentially losing that customer to another competitor in order to get those non-gaming amenities hopefully that makes sense.
Keith Smith: Yes, I would say adding back non-gaming amenities is not a margin conversation. It's a business demand conversation. And it's about providing the right level of product and service and amenities to our guests. And so as guest counts grow as the guests are looking for more options and they become more comfortable coming out and sitting in restaurants, we will react to that in terms of opening more amenities. I think we've said a couple of times an amenity that looked and felt a certain way in 2019 may look and feel a different way today in terms of how we operate it and how we open it. So it's not purely a margin conversation. It really is about how do we best support the customer and make sure that customer stays loyal to us at the right reinvestment levels.
Steve Wieczynski: Okay, great. Thanks guys. Appreciate it.
Operator: Our next question will come from David Katz with Jefferies. Please go ahead.
David Katz: Hi, afternoon everyone. I wanted to just go back to the discussion about margins and amenities in particular right? When we think about what those -- the impact of those amenities on margin, is it just a function of the structure of how those amenities operate within the enterprise? Or is there some element of them being given away that is a drag. I'm just looking for an extra layer of insight there.
Josh Hirsberg: Yes. So I think -- so David the way I think about part of it is, is understanding who your customer is and who you're providing benefits to, to be in that particular non-union amenity whether it's a restaurant or a hotel. So you have to I think historically and/or I'll say, I'll talk more on the present we've gotten better at making sure that we understand who we want to provide say a comp or benefit to, to participate in that outlet if you will. So I think that as we go forward or as we execute the business today and as you think about who is in the building today, it's really a broadly speaking it's a high-value customer that we've not -- that has been -- is loyal and rated and we know who they are and translates into a high-value to us. And then the other set of customers is a unrated or lower-rated customer that we're not marketing to the same degree that we were historically. So where you kind of get off track or off rail is from the perspective of over reinvesting in customers that may not have the worth or maybe unknown to you in -- when you provide a direct mail offer or the broad-based or the reinvestment offer whatever it is. And so, I think it's a combination of what is -- what we're talking about and changing our behavior going forward is really a combination of two things. One, just having better tools and analytics and capabilities from a marketing perspective to be able to understand who we're marketing to and do a higher quality job of that. And two is, from the perspective of just philosophically understanding kind of who we want to market to and who we want to be kind of offer these amenities to. I think it's really a combination of two things. And the second part really became more visible as coming from a closed position and reintroducing the business post-COVID or post-reopening COVID.
David Katz: Got it. And with respect to the rollout of Stardust is that something we should think about in a sort of earnings neutral fashion? Is there some drag along with it? Or how would we -- what context should we look at the next year 1.5 years?
Keith Smith: I think as you think about the rollout of the Stardust product in Pennsylvania New Jersey it's baked into the $20-plus million estimate we've provided on kind of the online EBITDAR for the year. So all of that is baked into that. So it's already kind of included if you will in what we've talked about.
Josh Hirsberg: We don't have any real "Investment or expense associated with that offering."
David Katz: Understood. Thanks. Congrats, great quarter.
Keith Smith: Thank you.
Operator: Our next question will come from Shaun Kelley with Bank of America. Please go ahead. 
Shaun Kelley: Hi, good afternoon and thanks for all the color, already. Josh or Keith I just wanted to dig a little bit deeper on; first of all, just maybe more of a clarification on the unrated play piece. Just how much of that in your kind of own estimation is coming from? What are the drivers behind it? How much of that is coming from stimulus? Is it coming from tax refunds or timing of holidays and vacations? Just given the surge there's probably a few things going on but kind of curious on what your insights are or what your property managers are talking about?
Keith Smith: Yes. Look it's a great question. It's when we spend a lot of time talking about and obviously given the fungible nature of money, I don't think we really know. Clearly I think if you look at pent-up demand from the older segment that's as we've talked about a couple of times has come out in bigger numbers in March and April. We talked about the rollout of the vaccines people becoming more comfortable being in large crowd strengthening consumer confidence all of those things have come to play. There are still limited entertainment options. So as more people are comfortable coming out because of vaccinations we're still one of the few true entertainment options out there that people are comfortable with. So I think it's all of those things. I really don't have a more definite or finite answer for you than that.
Shaun Kelley: Great. If you -- if we sort of take a couple of buckets if we think about the sort of remaining recovery on the destination side. And then we think about the over 65 demographic and still some ability for that to recover and then we think about versus the sort of surge in unrated play. Is there any way to estimate the first two buckets? Are those more than enough to sort of overcome sort of the surge you saw in the unrated play? Or do they balance each other out? Just kind of trying to think about the magnitude of what's left versus what you just saw?
Josh Hirsberg: Yes. So I think we would like to be able to quantify that. The issue really is the black hole that you don't know about around -- or surrounding the unrated customer. I do feel like or I think we do believe and we can quantify the opportunities we have versus 2019 or some prior period of customers that previously came that haven't come back we can look at that and can understand what that is. We can understand where their worth was, what their age is, whether they're destination or local customers. We can understand all that and understand that they aren't in the building today. What we don't know with 100% certainty is to what degree all of those customers are going to come back or not. I think what we -- the way I think about it and the way we think about it as the company is that the reality is there's a whole bunch of younger demographic customers that haven't come back. But the worth associated with those is not significant when you compare it to the age segments or age tiers that are above that that haven't come back. There's a host of high-worth unrated customers both local and destination that haven't come back. There's guys that are between whatever you consider a younger demographic and the oldest demographic that still haven't come back to fall in those categories too. You've got opportunities with respect to meetings and conventions as restrictions are lifted that will help drive efficiencies in midweek business. You've got opportunities with the unrated customer segments that we are signing up and learning about their worth and learning about the opportunity. And then you go okay, well, how much of the unrated plays at risk and that's the part you don't know what you're balancing against in reality.
Shaun Kelley: And then one last clarification would just be -- just for this over-65 piece just how much of that customer -- like I just wanted to clarify really is -- are you seeing the same customer spending more and coming more frequently? Or are you seeing total dollars of the over-65 cohort now up on kind of March and April versus what you were seeing back in 2019? Is this the same customer if they come back but total dollars are still down or total dollars themselves are actually up?
Josh Hirsberg: Right. Total dollars are up I believe.
Keith Smith: Yes it's more customers and more spend in the aggregate for that age group.
Josh Hirsberg: Yes, that's right. So we're seeing -- we've got higher overall revenues are up in that segment with less customers and so as a result, the customers that we are seeing, the worth of them is improved, right? So regardless of the metric that you look at going from, whether it's number of customers, spend per customer, total revenue by segment, all of those are up when you compare to kind of the trend from Q3 to Q4 and now into Q1. Is that understood?
Shaun Kelley: Yes it does. Understood. Thank you very much.
Operator: Our next question will come from Chad Beynon with Macquarie. Please go ahead.
Chad Beynon: Hi, good afternoon. Thanks for taking my question. Josh, Keith about a year ago you suspended the dividend which was roughly $30 million a year from a payout standpoint, given the unknowns of COVID-19 and here we are about a year later you're setting records, you're talking about $200 million of free cash flow. It doesn't seem like there are major near-term M&A or CapEx on the horizon. So how are you thinking about the return of the dividend, if there's nothing else to use the cash for? Thanks.
Keith Smith: I think it's a conversation that is premature today you may be able to see around corners a quarter or two into the future I guess we're not that confident of looking around those corners yet. And so the key for us today is maintaining financial flexibility as we continue to grow out this. Well, we have had great success. And by all means it was a fantastic quarter. We have to see how we continue to grow out this pandemic and make sure nothing else happens. And so financial flexibility is the key. That's why there's $700 million of cash on the balance sheet and that will continue to be our focus absent some really good use for our cash or liquidity. In the meantime, we're going to maintain flexibility.
Chad Beynon: Okay. And then on the growth side, there have been a few RFPs in the past, I guess in the past year, in Virginia, in Chicago and a few other places. And now you have New York and potentially Texas, although just in early discussions kind of on people's radars. How are you thinking about throwing your hat in the ring for some of these ground up, I guess larger investment opportunities, if they do come up in the near term? Thank you.
Josh Hirsberg: So the way, I think, we think about it is really just because we're generating a lot of free cash flow it doesn't mean we're going to go out and spend it all. I think from our perspective, we have to have confidence and the opportunity quite honestly and be able to feel comfortable that we can generate the return. So I think, there are opportunities that we have historically as we've learned the bottom we continue to watch and be interested in. And then there's others that -- where we think it doesn't make sense for company like ours regardless of the success that we're having because we just don't like the dynamics of the market or the circumstances under which we're going to need to pursue that opportunity. So it all comes back to can we generate the adequate return for the investment. And if we don't see that then we're not going to pursue it. And I think that's the fundamental thesis of how we think about opportunities and whether you want to talk about opportunities and land-based or land-based development or any other aspect of our business that's where we start the conversation I think.
Chad Beynon: Thanks, Josh. Great quarter, guys.
Josh Hirsberg: Thank you.
Operator: Our next question will come from John DeCree with Union Gaming. Please go ahead.
John DeCree: Hi, Keith. Hi, Josh. Guys, I think, the capacity restrictions in the state in Nevada, Las Vegas are going to be lifted to 80% in a couple of days from 50%. Wanted to get your take on any implications that has or that you think it might have either positive or negative for your business or the competitive landscape? And then as a follow-up extrapolate that to any markets that you operate in where improved capacity restrictions or eased capacity restrictions might be a benefit for you guys?
Keith Smith: Sure. So look, I think, that we've proven in Q1 and frankly last year were an indication that we don't necessarily need more capacity to generate strong results. You know, having said that the lifting of capacity restrictions going to 80% here in Nevada and then ultimately 100% is certainly incrementally positive. It's positive from a couple of factors. Certainly on big large busy weekends we can probably use some additional capacity, mid-week really not. But it has a psychological effect not only here locally, but I think across the US and relaying the fact that Las Vegas is reopened and I think, will drive more people to town. Across the country, we have varying degrees of capacity restrictions still in place. And so as those get lifted it really is a matter of will it drive more customers? Do we need that capacity? Are we doing fine and every market has its own dynamics. So there's not kind of a holistic answer I can give you other than lifting capacity restrictions is certainly incrementally positive not only for psychological reasons and letting people know that we are back to normal.
John DeCree: Thanks, Keith and congratulations guys on a great quarter. 
Keith Smith: Thank you.
Josh Hirsberg: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Josh Hirsberg for any closing remarks.
Josh Hirsberg: Thanks, Matt and thanks for everyone joining the call today and we appreciate all the questions. And if anyone needs to follow-up with the company please feel free to reach out. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.